Operator: Good day, ladies and gentlemen and welcome to Blucora Inc. Fourth Quarter 2018 Earnings Conference Call [Operator Instructions]. As a reminder this conference call may be recorded for replay purposes. It is now my pleasure to hand the conference over to Mr. Bill Michalek, Vice President of Investor Relations. Sir, you may begin.
Bill Michalek: Thank you, and welcome everyone to Blucora's fourth quarter 2018 earnings conference call. By now you should have had opportunity to review a copy of our earnings release and supplemental information. If you've not reviewed these documents, they are available on the Investor Relations section of our website at blucora.com. I'm joined today by John Clendening, Chief Executive Officer; and Davinder Athwal, Chief Financial Officer. Before we begin, let me remind everyone that today's discussion contains forward-looking statements based on the environment as we currently see it and speak only as of the current date. As such, they include risks and uncertainties, and actual results and events could differ materially from our current expectations. Please refer to our press release and other SEC filings, including our Forms 10-K, 10-Q and other reports for more information on the specific risk factors. We assume no obligation to update our forward-looking statements. We will discuss both GAAP and non-GAAP financial measures today and the earnings release available on blucora.com include the full GAAP and non-GAAP reconciliations. With that, let me hand it over to John.
John Clendening: Thanks, Bill and good morning everyone. We have a lot to cover today including record annual performance for TaxAct and HD Vest and an update on tax season. I'll start with our results. Blucora concluded a very strong 2018 with fourth quarter results generally in line or better than our target ranges. Fourth quarter revenue improved by 3% year-over-year to $101.3 million; adjusted EBITDA loss was $750,000, a 44% improvement year-over-year. Non-GAAP net loss is $7.5 million or $0.16 loss per share, was a penny better than the high end of our target range although down relative to the year ago quarter, which include a $3 million judgment associated with recording tax benefit for equity awards. GAAP net loss was $60 million or $0.38 per diluted share, also better than expected. Although down related to the year ago quarter, we should include the $32 million benefit from tax reform. Beyond the quarterly financials, in 2018 we took a number of important steps that we believe will build a stronger business go forward. Moving to the business unit discussion, I'll start first with tax preparation. As you may be aware the tax season is off to a very slow start this year with total IRS filings down 12% and DDIY filings down 9% as of February 1. The drivers for the slower start include customer uncertainty around the impacts of tax reform as well as the timing of tax refunds given the government shutdown. In addition competitive intensity continues to be high with the volumetric leader increasing it's working spend particularly around its assistant DIY offering and with the storefront players focusing on refined advance. Against this backdrop we came into the year with the goal of building on the success of last season and hopefully further grow and monetize units despite the head wind in tax reform. To this so we launched both new marketing campaigns and made important advancement in our offering, which I'll discuss in a moment. At this relatively early point of the season, our performance lags the overall market with total starts down 4% through February 11 and e-files down 22%. A few things I would note here are, number one, it's natural to see a lag between starts for e-files as people wait for tax forms. Two, our business tends to make up ground in second week given our focus on paying filers who disproportionately file later in the season. And three, we lead our rapid marketing spend substantially when compared to last year. So we decompose the season so far into challenges and bright spots, on the former our challenge is centered upon free and low price point offerings. We're out of the gates, very slow P3 files and our basic skew lag expectations as well. You may recall that we introduced basic last year on March 1. And so some returning filers who last year filed for free are now in the basic offering. We didn't see any elasticity on basic in the second peak class season, but clearly we're seeing it in this year's first peak. At the same time here are a number of bright spots including our start rate is rapidly improving as the season progresses, which means the gap is closing after a very slow start. Completions are also improving as we get deeper into the season. Despite the challenges on basic, we're monetizing a significantly higher portion of our customers this year and we're ahead of expectations in total on complete for highest price skews as somewhat had on ARPU. All factors considered we remain comfortable with their outlook for the first half of 2019, which includes revenue growth is 7.5% to 10%, the segment margin of 56.7% to 57.7%. So overall units are expected to decline with revenue growth being to the larger the ARPU including favorable skew mix, our outlook assumes we're able to monetize units modestly based upon our experience, brilliancy as well as our expectation that basic will perform similar to last year in the second peak. We're going to build a number of advances and the benefits for customers to make the tax filing experience easier and more rewarding as part of a multiyear effort to improve the client experience. I'd like to touch on a few of these. In addition to bringing back some of our most popular features like our personalized Deduction Maximizer and $100,000 accuracy guarantee, some improvements customers have seen this year include a new refreshed and improved website that allows customers to quickly identify the product that best fits their needs. This also includes aligning the names of our comparable product names with those of others in the industry for easier comparison. We've also upgraded our mobile experience with the app earning a 4.5 star rating in Apple's App Store up from four stars last year. We also introduced Ten-Minute taxes that streamlined and intuitive process to get certain filers with simple returns to complete the returns in just 10 minutes or less. We want to enable our customers do more in less time, so that they get back to the things that matter most to them. We're also excited to see the launch of our Refund Marketplace, which awards filers with a bonus amount and a gift card up to the maximum of $599, when they allocate a portion of their refund to gift cards from an assortment of national retailers. This bonus can make the tax filing process better than free where the filer can end up walking away from TaxAct filing experience with more bonus money than they pay to file with us. Participating retailers for initial season so far include Amazon, Starbucks, Nike, Bed Bath & Beyond, Apple's iTunes, Home Depot, Powerful [ph] Cruise Line, Lowe's and several more. We also continue to add new data import partners with Commonwealth and National Financial on the list of new additions this season. In addition to the enhanced customer experience, we had some new and expanded partnerships this season. As you recall last year was our first year testing several types of new partnerships. We're pleased to announce recently that KeyBank, seeing the value of our partnership last season was interested to expand their relationship for this season in addition to KeyBank offering and merchandising TaxAct software to their customers TaxAct filers will have access to several KeyBank products, including CDs, loans and credit cards, as well as the option of depositing their refund directly into KeyBank high yield savings account. Consistent with our mission to provide most value to customers across their financial lots, many these players will be offered with monetary or the bonuses or discounted rates, for example, a 50 basis points reduction on loans or no interest for 15 months on credit cards. A couple other partner updates include a renewed agreement with Fidelity for this season, which includes better offer placement and broader exposure with their platform and constituent base. My Secure Advantage, a corporate EAP provider was also renewed and expanded this year and increased by a factor of more than 10 the number of total possible end customers to which they could make the TaxAct part available through their employer clients, let's you up to a possible 28 million versus 2 million last year. We've also just gained distribution on Amazon and are moving to optimize merchandising and placement. Our BluPrint financial assessment, which utilizes our proprietary software to turn insights obtained from a tax return with customer consent into actual recommendations to improve their financial situation, will also be back this season. Last year, more than two million customers asked us to help them and requested a BluPrint analysis. While we saw excellent interest, some customers found a list of opportunities overwhelming and have known where to start. This year we did see many enhancements during a much more engaging, content rich and guided experience to help customers capture more value. From tax expense to lowering our rate on debt or increasing the rate on savings will make it easier along with the new roster of partners, the full experience, which includes these improvements his planned for launch later this month. Meanwhile, with a successful gaining consensus, we believe we're the only online tax software company that offers this level of insight and guidance into the financial health of our customers and provides comprehensive solutions which can save our customers real money now and for years to come. This is phenomenal value creation opportunity for our customers. Our sense of these issues will become much more meaningful in tax year 2019 after a season plus of experimentation. I'll close on tax preparation by knowing that we've also made significant improvements in our capabilities on this business in just the past few months with regard to leadership, marketing, product management and engineering. The team is moving aggressively to optimize all levers for a strong tax rate 2018 as well as set us for next season. Turning now to wealth management, as I mentioned earlier, HP Vest had an excellent 2018 despite the market volatility. For the year revenue grew 7% and we achieved nearly $1 billion of net flows into advisory assets at $957 billion, setting a new record. More importantly, 2018 in this business was about positioning and laying the groundwork for future growth. As we've consistently shared, we look to build long-term value to drive the increased total client assets and increase monetization of those assets to the adoption of advisory services and maximizing the capture the economics of client cash. Our approach is straightforward. Number one, adopt best practices. Number two, deploy the tools and services to allow advisors to maximize their productivity practices and three, extend their unique reason to win around the creation of tax alpha. In 2018, we made substantial progress in setting the stage for step function increases in clients, advisor and shareholder value and expect to build on each of these in 2019 despite the challenges we're all seeing to run market valuations and less certain economic interest rate environment. The degree of change we achieved cannot be overstated. And with change comes the degree of initial variability and uncertainty. As we look back on the prior year. It occurred to me that would be useful to divide our progress around seven states for future growth and value creation in the three areas. Number one, unequivocal progress, areas where we just nailed it and are post speed ahead. Number two, line of sight, areas where we may include progress and shared goal, but there's still some work to be done in ramping, areas where we may also make great progress but are still maturing to achieving the maximum value. In unequivocal progress category, I'll start with recruiting while adding new advisors tends to drive value in a medium plus time frame rather than the short term, I could not be more pleased with our results last year. In 2018, recruiting roughly double we did in 2017 in terms of total new client assets and more than $700 million. First, we had about 120 new advisors in our core strategy of turning tax pros into wealth advisors. This includes our efforts to penetrate larger accounting practices, a new focus for us. For example, last quarter, we had another large accounting firm of six locations, 13,000 individual clients and 600 business customers. That's fully up and running, so the bottom at $100 million prospecting opportunity in total client assets. Second, we also earned the business at 175 established advisors, two of these advisors, which were particularly large during the fourth quarter with the associated assets continued to onboard this quarter and our partnership with trades continues to yield results with more than 1100 leads generated to date. We've a handful of them already on board representing $250 million or so in total client asset opportunity at this point. I'd also put advisory growth in this category, which as I noted approached the $1 billion mark at $957 million, including $350 million in the fourth quarter. Advisory assets as a percentage of total client assets ended the year at a new high water mark at just about 30%. As advisory assets continue to go faster than total, there's one component along with insurance commissions and sweep revenue that further reduce our dependence on transactions and increases our recurring revenue rate. Our recurring revenue rate raised 83% in the fourth quarter, up nearly 400 basis points year-over-year, and we have new initiatives that we're ramping throughout 2019 that will accelerate this shift. Lastly, in this category, our conversion to Fidelity's national financial results in a step function increase in revenue from cash sweep. In the line of sight category, speaking of conversion, as you know, the conversion efforts not only increase our revenue, it is often important part of an effort to accelerate growth and provide the best technology, service and support to HD Vest advisors. We embark on an ambitious conversion project over more than 15 months that has created a transformed advisor experience with next generation technology and new capabilities like highly integrated business processing, data aggregation and a world class client portal. The conversion which went live at the end of September was unique and that was essentially three conversions in one, including Fidelity's national financial, Envestnet and Fidelity's eMoney. This was a big change for advisors when it's taking longer to adapt to the week than they had anticipated. To bring it fully current, the asset conversion is essentially complete with over 99.9% of assets converted a very positive outcome. However, we saw a clear increase in cycle times in the fourth quarter as advisors and our home office team work to get accustomed with the new technologies, policies and processes that came along with the simultaneous conversions. This tended to increase response times and also had the effect of lowering transaction activity as advisors turned inward to support existing clients rather than business development. As you all know from our prior calls, we take very seriously the concept that overtime win more for shareholders and deliver great value to clients and advisors. It became clear in the fourth quarter that we need to do a better job supporting advisors on these conversions. So we decided to take contact support in elevated levels to smooth out the process, in addition to committing resources from our platform partners. We're making good progress on this front and expect that it won't be too long before we get back to form and then significantly exceed our pre conversion productivity capabilities. But we expect to see other expenses and possibly continuation of us to check that transactional activity through the first half of the year. While there are startup costs with stack of national financial eMoney and Envestnet represents a large upgrade over our product capabilities. We believe we have one of the best commercial grade platforms in the industry and we'll be making proprietary investments to advisors experience over time. We're already seeing strong adoption in new capabilities like eMoney, with clients grabbing 25% of total client assets enabled on the portal. We're also seeing conversions of new advisors which simply would not have come to us without these improvements. It will also be an important financial driver. The national financial portion alone, as we've indicated in the past is expected to generate more than $120 million in incremental segment income for the 10 year contract duration, which will allow us to writing customers with higher interest income over time, what's really the bulk of the benefit between growth initiatives and enhancing bottom line earnings. The sweet portion of this is large, even if rates don't continue to go up. On balance, we've taken a small step back and the meeting wake of the conversion for the opportunity to take three steps forward. The overall benefits we expect to see from this conversion in terms of benefits to advisors, client and the company are hard overstate and importantly the majority of our larger advisor offices are fully past the conversion are 100% focused on throughout. This gives us strong conviction around bringing the rest of our advisors to the same spot. Also in this line of said advisor productivity, our introduction of predictive models to assess advisors and bring in those with the highest potential continues to bear fruit. Advisors brought on using this process continued to reach really milestone in a fraction of our scope for average at 120 days versus the prior year 800. We had almost 80 new advisors join in the fourth quarter like utilizing this assessment. New tools and training including consultants sales simulations using virtual reality as in politics and have some great promise and we expect will have a positive impact in 2019. This is part of an overall productivity effort to get a realignment of service capabilities to buy the right service advisors in the right way which is now in pilot. You'll recall last year we actively proved the advisor base by setting engagement requirements which led to the termination of our affiliation with hundreds of advisors. This is pretty more capacity for our team to focus on driving productivity with our engaged advisors and continuing to enhance our experience and support for most productive advisors and teams. Overall, our average production per advisor was at 14% in Q4 versus to a year ago and we believe that we're just in the early stages in this regard. As we continue to bring on larger established advisors and enable stronger growth for our current advisors, advisors are moving up the payout grid with their top teams out performing and growing relatively faster. We applaud their growth and specifically the way they're going to invite embracing the advisory model. While we are fully happy with the acceleration of growth at the high end, the relative imbalance of the growth has led to payout rates increasing for the past few quarters. We maintain a strong relative payout advantage relative to the industry because of our balance of advisors at each stage of the advisor life cycle. Yet, we are focused on a number of steps to extend and accelerate growth among the high potential middle group of advisors which when effective should serve to moderate overall payout rates. Finally, in the ramping category, most notably, we recently launched our Tax-Smart Innovation incubator with the first innovation already in beta testing. It's a new proprietary tax smart investing software platform to help advisors systematically capture tax alpha for clients. This is key as investors unnecessarily give up one to two percentage points of prominence each year to taxes. The beta was oversubscribed within 24 hours of lunch and is now in testing with about 150 advisors. We're in the very early stages here, but the reaction and the results thus far are quite encouraging. And the feedback we're receiving is helping us make the product even more beneficial. Our feel is we can create a far more useful set of capabilities than are currently available in the marketplace, giving our advisors an incredible edge and driving value for clients So they fix in wealth management, while we demonstrated excellent results in 2018, perhaps even more important than the foundational elements we put in place to drive future growth. Bringing in gradient advisor talent, arming them with a powerful set of technology and productivity tools that will represent a step function increasing capability, rolling out new training and support as well as developing the next generation attachment tools drive even better client value. Networks have been strong, to shift advisor continues and sweep revenue run rate has never been higher for HD Vest. These are the major drivers of value and they are our focus. For the company as a whole, as we look back at the full year 2018, I have to say that I'm incredibly proud of what the team has accomplished including growing total revenue by 10%. Growing adjusted EBITDA by almost double that rate at 19%, our non-GAAP earnings by an even stronger 30% and approaching $2 per share, generating nearly $100 million in free cash flow further strengthening the balance sheet by paying down $80 million in debt and reducing our net leverage ratio to 1.5 times from 2.8 times. Improving HD Vest revenue by 7%, achieving record net flows in HD Vest including almost $1 billion into advisory at $957 million, transitioning to a new clearing platform and technologies, which will benefit advisors and clients for enabling us to capture more than $120 million in additional benefits for the 10 year term, achieving our twenty first consecutive year revenue growth at TaxAct, growing 16% and meeting our goal of stabilizing and monetizing. And last but not least, bringing great new talent into the organization up to and including the management team and board of directors. In 2018, we advanced our strategic goals of accelerating growth, building Tax-Smart leadership, creating one Blucora and delivering results. We strengthened our platform, we invested for future growth, we generated outstanding financial results and laid the groundwork to capture the significant opportunities we see ahead. In short, our strategies are working and on track. As I approach my third anniversary with Blucora, I'd never been more excited about our prospects. With that let me to turn it over to Davinder.
Davinder Athwal: Thanks John and good morning everyone. I'll jump right in and cover Q4 results and provide some additional color on our current revenue and set the margin expectations for the upcoming tax season. As John mentioned, our overall results are generally in line or better than our target ranges. Revenue is up 3% year-over-year to $101.3 million at about the midpoint of our guidance range. Adjusted EBITDA loss improved to $750,000 driven by an increase in revenue as well as lower OpEx at TaxAct and is above the high end of our guidance range. Non GAAP net loss per share of $0.16 was slightly above the high end of our guidance range although down lower to the year ago period to a $300 in the year ago period associated with recording tax benefits for equity awards. And finally GAAP net loss per share was $0.38, also above guidance, but down relative to the year ago period which included $32 million benefit from tax reform. Moving on to the balance sheet, we had cash and cash equivalents of $84.5 million and net debt over $180.5 million. We ended the year with a net leverage ratio of 1.5times down from 2.8 times at the end of 2017. Our capital allocation continues to be focused on organic investments and debt paydown. So absent any strategic opportunity that may present itself, we'd expect further deleveraging in 2019. As a reminder, the non-controlling interest in HD Vest becomes available this quarter, so we expect an associated cash outlay of approximately $25 million in Q1 with no P&L impact. I'd now like to review segment performance beginning wealth management. HD Vest fourth quarter revenue was $97.2 up 4% when compared to the prior year and at about the midpoint of our guidance range. Q4 revenue was highlighted by fee based advisor revenue which is up 13% year-on-year driven by strong net flows and market growth in the first three quarter of the year, reflecting some of the earlier significant benefit to the growing transition, mutual fund rev-share revenue was up 19% and [indiscernible] revenues 96%. Also effective of the conversion, but in the other direction, our transaction of commission revenues were subdued relative to a recovery as advisors on four home office team acclimated to new procedures, tools and technologies causing cycle times to increase. As John mentioned, we brought in additional resources to help smooth out the advisor experience and we're making good progress. Service income this year for the quarter was down about 1% year-over-year and short of our targeted range due to do the items John mentioned. These included a legal revolver of about $450,000 that was recorded during the quarter, claim related impact of lower transaction volumes and includes overall support personnel, which together will amount $250,000 and a higher advisor rate, which is about a $700,000 impact driven primarily by market performance and product mix as well as advisor mix with higher payout advisors going faster on a relative basis. In short, we are seeing the long-term benefits from the current conversion begin to flow through, particularly in our asset based revenue line from other assets in the short-term by incremental cost as in lost productivity. We expect increased stability related to the conversion over the coming months and to be fully stabilized by the end of the first half with some incremental expenses are expected to roll off. I will note the fact that we're developing [ph] additional unexpected cost and still exceed our guidance for total adjusted EBITDA is a good example of our one pretty company mentality. But we run the business both to optimize adjusted EBITDA at the consolidated level as well as meet our financial commitment. In this case we're able to more than offset increased costs from the HD Vest side with savings opportunities elsewhere. Continuing on, net new client assets for the quarter was $181 million and net flows into advisory were $347 million. We rent lease the advisory net flows as this is an area of focus for us as we continue to convert existing brokerage assets to fee based advisory assets were appropriate for clients, while also driving new to firm fee based assets. Despite these corn flows the significant market decline in Q4 resulted in advisory assets coming in just slightly higher year-over-year at $12.6 million and total client assets being down about 4% on a year-over-year basis to about $32.2 billion. However, the continued relative strength in advisory grew the advisory as a percentage of total, up about 130 basis points to 29.7%. For the full year HD Vest revenue came in at $373.2 million, up 7% of the prior year and segment income of $53.1 million, an increase of 4% over 2017. Summing up the year, market conditions were favorable for most of the year and that upward movement grew our total assets and advisory assets on top of the record flow we achieved which benefited fee base and total revenue. We typically see increased slogan times of S&P 500 growth, we also saw four increases in the fed fund rate in 2018 which benefited us in the fourth quarter following the current conversion and will be an even bigger benefit looking forward. So the big for the 2018 is significant a stride we made to position the company for the future with all the items John mentioned, including workflows, recruiting, conversion, the budget productivity and a very promising Tax-Smart innovation initiative. Looking next to our TaxAct segment, TaxAct revenue for the fourth quarter with $4.1 million, up 2% relative to prior year, segment loss was $8.10 million, an improvement of 70% versus prior year as the prior year quarter included incremental spend in early marketing as well as in the current conversion. For the full year, TaxAct revenue came in at one or $187.3 million, an 60% over the prior year. Segment income was$87.2 million, an increase of 20% over the prior year resulting in segment margin of 47% which represents 130 basis point improvement for 2017. Turning next to the Q1'19 outlook, for TaxAct we expect revenue of $125.5 million to $126.5 million, which is approximately 64% of first half 2019 revenue. And segment income of $66million to $68 million. For HD Vest the significant market decline we saw in December did not have a material impact on the fourth quarter, but will show up in first quarter results again primarily in advisory as fee for Q1 based on Q4 endings assets and [indiscernible] rev-share. For Q1 '19, we expect HD Vest revenue between $89 million and $92 million and segment income of $10.5 million to $12 million. In addition to more conservative view on transaction volumes, this outlook incorporates a few incremental items including, first, approximately $1 million in advisor bonuses to recognize our top advisors based on production and advisory assets. This amount will decline to $700,000 in Q2, cut to $400,000 in Q3 and go away thereafter. Second, $400,000 in short term contracted forecast that we maintain elevated support level for advisors, we would expect this amount to drop to around $100,000 in Q2 and then go away. Third, $300,000 for an additional and one time legal reserve. On a consolidated basis, we expect first quarter revenue between $213.5 million and $218.5 million, adjusted EBITDA between $68.5 million and $72.5 million and non-GAAP net income of $60 million to $63.5 million or $1.19 to $1.26 per diluted share. And GAAP net income attributable to Blucora of $48 million to $50.5 million or $0.95 to $1 per diluted share. This includes unallocated corporate expense of $7.5 million to $8 million. Consistent with our past practice, we expect to provide full year outlook during our first quarter call upon the completion of the tax season. However, there are a couple of items I'll mention now that may be helpful as you look ahead or for modeling purposes. We continue to expect a new clearance arrangement to generate more than $120 million in incremental segment income of the 10 year contract period. For 2019, assuming no additional increases in the fed funds rate we now expect an incremental benefit of approximately $12 million, which represents the high end of our previous target of $10 million to $12 million. The $12 million benefit is compared to our previous fed fund run rate. Compared to 2018, which included a $1 million credit benefit, this would represent $11 million dollar increment. Should rates change, for modeling purposes, it would be fair to assume a $2.5 million annual segment income impact probably 25 basis point change in the fed funds rate. As we previewed last quarter, we expect to leverage this incremental clearing benefit reflect for investment in the business in 2019 and capitalize on significant organic growth opportunity we see, particularly the text mode initiatives that John referenced. For the full year, we are targeting an investment of $4 million to $5 million which will show up in our unallocated corporate expense line. In 2018, we utilized approximately 67 million over tax [indiscernible] go for pretax balance of $454 million. And finally on that debt pay down, just a reminder that given the seasonality of the tax business and the strong cash generation uprights, we tend to pay down debt in the first half of each year. With that I'll now turn the call over to Brian for your questions.
John Clendening: Actually, before we do that, in my tax season discussion, I reference the February 1 IRS data, but I wanted to make sure I also noted the February 8 data that came out yesterday should have similar story, but to a lesser degree with IRS filings now down 7% with DDIY down 3%. So let's now go ahead and open it up for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from the line of Dan Kurnos with the Benchmark Company. Your line is now open.
Dan Kurnos: Great, thanks. Good morning. John, not a lot of room for questions, very thorough on the explanation here, but maybe if we can just take tax first, just on your thoughts on the sort of the competitive landscape and sort of your promotional activity. Obviously, we've seen a lot of commercials about, going with an actual CPA that's been sort of the theme I guess, more recently, especially during some of the larger football games and how that is sort of you guys are judging sort of that move, which I think started occurring last year versus what kind of you guys are doing. And on the promotional side I believe you guys advertised a little bit more on national TV and maybe also even during some of the larger televised events. But just how you are being more promotional whether it's the increased promo codes, pricing, up front in the season with the anticipation of making it back and the back half or just how you guys are attacking the market relative to your peers. Thanks
John Clendening: Dan, good morning, thank you and thanks for the question. I'll pack it in sequence there and let me start with what we're seeing sort of big picture as noted in the prepared remarks, we're definitely seeing upticks in overall spending and noted as well the shift more toward live. Our belief is that the sort of - I'm thinking about sort of Turbo Tax live there of course, but our view is that the aim there is to take more and more people out of the storefront making those folks who are there in the first place because it wakes an anxiety perhaps more complexity, anxiety around their tax situation. And we believe in general, the more successful the volumetric leader is in winning us customers over from storefronts the better should be over time for DDIY. They are advertising very heavily and we expect to continue to do so. Now, as it relates to our position in the marketplace now, a couple things, so we have changed our mix. I signaled on the last call that we had some really sharp improvements in our analytics on how to spend our marketing dollars. And so we have made those shifts. We felt really good about the campaigns that we developed this year. We're seeing a positive response on those. And part of that is due to the fact that we are broadcasting on television, of course our stamina was far smaller than others. But we think the messaging itself has cut through nicely. There's also been an important social component; we've had over 8 million views of our video campaign on social. We're nowhere near the end of the - even the mid part of the season here of course, but we feel good about how we're stacking up from a marketing point of view. Now, as it relates to promotions you may have seen some of our marketing that we have advertised this concept of we pay you to file your taxes. It's no secret that there's economic value in a stored value card. That's how that works for us. We've seen a lot of interest on social and otherwise around an offer, an offering like that. So that's how we're seeing things stack up. That's how we're competing. So far, we've got ongoing tests around pricing and promotions and we vary that based on new versus returning versus our folks that have lapsed and I'll get a lot more of season to go and prosecute and we're hitting number two or so here, but I'm liking what we're seeing with regard to marketing.
Dan Kurnos: Do you have a sense, John, where you finished kind of last year in terms of brand awareness and now obviously still early in the season any metrics you can share around either repeat or things that can give us sort of an update on brand awareness which is obviously been the one issue I think that's played TaxAct in the past.
John Clendening: Yeah, we don't share those numbers and clearly would spend levels lower than others and being in a category that is, generally speaking, once a year event, we are going to be that player that whose brand recognition fits with our market share, meaning we'll be third in brand recognition. But we think that the differentiation that we've built into the marketing this year - it was a good thing that people are talking one message and we've had a diametrically opposed message that's more around value is going to be good in the context of competing inside the DDIY category, while others try to bring people into DDIY. And it's something that we focused on continuously. More progress coming.
Dan Kurnos: Okay, then just last on wealth management, just so I understand John, it sounds like - look integration, it was a - I think we all sort of take for granted the size of the integration and shift you guys did to the new clearing platform. It sounds like even though by your standards, maybe a little bit of noise, I guess, around uptake in and sort of adopting the new platform, can you just give us a sense of when - are you still able to still fully step on the gas here or are - how long does this kind of noise persist and ultimately when do you feel like you're able to get more aggressive with some of the other initiatives that I think you want to roll out, now that you've got the platform underlying?
John Clendening: Dan thank you for that question as well. So the way to think about this one is that - I'll make two comments. First is, as noted, we actually took on three conversions in one. We actually debated whether we ought to have more of a rolling thunder approach with the conversion to the - on the national financial side as it was timed and then that would then mean Envestnet and eMoney would come after tax season and we just felt like that would be too much of an extended period of disruption. So we chose to all three one and as we've also shared, other than a lot more cleanup work than we expected with regard to getting advisors comfortable, especially with those latter two elements. That said, by the end of Q4, we were back within our state of processing levels, just a very few exceptions. Now, as relates to growth it's kind of like a tale of two cities here and to the extent that the larger advisors, the advisors that have been much more focused on growing advisory, folks that have been frankly our biggest producers, they've embraced all the change. And we are actively working with those advisors to help them grow their practices. And there's an order of initiatives that are supporting them in that regard. And it's instead then sort of smaller advisor maybe that advice for him. They only spend a couple hours a week on wealth management for whom getting up the learning curve is it's been more difficult they don't have the frequency of usage that the large advisor office like a multi-person firm would have and it's really that advisor we've been spending more and more of our time with. So we're not stalled out with regard to focusing on growth initiatives, the pilot around advisor productivity, it's full steam ahead, we're realigning some of our teams to support that new segmented approach to our advisors. We need to move our advisors to focus on the right conversations with clients. The rest all it's like in a holding tank until we learn, it's more like cycling through advisors segment by segment and even advisor by advisor to get them up to speed while the larger advisors already party moving. That's why we saw the nice performance in advisory by the way in Q4. I thought that may be a bit of a challenge, but the reason it wasn't we believe it's in the larger advisors powered through the conversion kept on moving with regard to a greater penetration of advisory.
Dan Kurnos: Got it, thanks for all the color John, appreciate it.
John Clendening: Thanks Dan.
Operator: Thank you and our next question will come from the line of Will Cuddy with JP Morgan. Your line is now open.
William Cuddy: Good morning. So John I think you discussed the prepared remarks some of the monetized units outlook for this year, did you indicate the trend the monetized units for tax season to date, I may have missed it?
John Clendening: So well, thanks for the question. Good morning. Appreciate that. The headline here is a sharply favorable shift in mix toward monetized units. we've explained a little bit that in the prepared remarks, but as you know and folks on the call know, we've been in a multiyear effort to shift our focus toward monetized units point one, point two monetized filers tend to be much more of a second peak sort of phenomenon. And so in our instance, we believe that explains our slow start. Although we're covering ground - covering up ground, making up ground rapidly. Even over the last few days, we see some nice progress there. But we have a goal of growing paying units to follow up on our successful last year. We are up relative to this point last year. But I point out in fairness that it's not as meaningful comparison since we didn't have a basic skew last season until March. So it's shaping up in terms of monetized units largely the way we would expect it to. Our focus is to again; to grow monetized units we're making every effort to make sure that we do that this season and again as I noted a sharp shift in mix toward monetized units. It's a byproduct of our strategy.
William Cuddy: Great, so turning to wealth management, so there's been a lot of noise on tax season this year and as we think about that has there been an uptick in conversation from tax professionals that are looking to get into the wealth management business and relatedly it seems like what the conversion it may possibly have changed some of the advisor onboarding as we look out over the next six to nine months or so. Is that fair and how should we be thinking about for growth over the course of the next year for advisor onboarding?
John Clendening: Let me cover the second point first around onboarding. There's really - there's no negative with regards to the new advisors coming in, in fact, it's all positive. And the reason for that is they're starting out of the gate with this terrific package of national financial plus Envestnet plus eMoney. So they're working with a sort of best in show array of capabilities and so for that person coming in the tax only now becoming tax and wealthier and far better spot. What about the established advisor, certainly, if they're on another clearing firm, they've got to make a change. But that was true before. And the plus here is that their analysis is going to a far better what's called a stack of capabilities and then was true previously so much so that we landed some advisors who began to convert even late last year on the basis of now having built that sort of best in show lineup of those three capabilities. So it's not going to stop recruiting. In fact, it's a bit of a spurt of recruiting and I feel like we're going to get people off to an even faster start with the quality of what they have to work with versus what was true previously. The tax reform and what does that do for tax professionals and thinking about coming into widening their profession to improve wealth management, we think it is one more, one more spur for those folks. For big picture what's happening in that business, so as you think about tax only professionals, it's a couple of percent growth sort of deal a year, it's not rapidly growing and on top of that, it's increasingly less and less differentiated, right. So it's certainly true that the wise tax only professional is looking for ways to add value to their business. They're looking for ways to do more for clients and extend from the more commoditized simple preparation of tax and - that's where we come in, right. So we come in exactly at that point, it's why I think we've gotten more interest in some of the events we've gone to. It's why we've gotten good uptick from Drake advisors because they see that hey, this is - it's kind of tough slogging to grow your practice once you've sort of filled yourself if you will to the right level of capacity on tax filing. So tax reform, it's one more reason for that advisor think about how can it be strategic. Okay, take advantage of change and if that manifestation on the investing side of that captured fascination so much these folks.
William Cuddy: Great, thank you for going into detail on that. Appreciate it.
John Clendening: Thanks Will.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Chris Schutler with William Blair Your line is now open.
Andrew Nicholas: Hi guys, good morning. This is actually Andrew Nicholas on for Chris. I guess first, can you talk about customer utilization of the refund marketplace so far this year; obviously it's early in the season. But any sense of what the average bonus is that you're seeing customers get and maybe even a sense of the economics of the program on average, recognizing it varies a little bit by the type of gift card and the merchant.
John Clendening: So Andrew, good morning. Thank you for the question. John here, I'll take that one. It is early, but we are seeing some nice uptick in the marketplace. We're experimenting with how we present it - in a way it's - I mean, the value proposition is clear, right. Hundreds of dollars up to $599, we're experimenting with how to best convey that to the consumer in terms of web experience itself. But that said there's several million dollars that have already been loaded onto these cards and for the consumer that is really value conscious. It's quite something to leave net positive, paying us a little money and leaving with a lot of value on a card. And as it relates then to kind of the economics of it, essentially what happens here right is there's economics and survey card for obvious reasons. We passed nearly all of that on to the consumer as a way to attract people into our brand. And so it's not meant to be a moneymaker for us per se. It's much more meant to be an acquisition tool and one that we're going to continue to experiment with in terms of its presentation.
Andrew Nicholas: Got it, thank you and then turning to wealth management. I know you mentioned stronger relative growth among higher producing advisors driving up the payout rate in the quarter. I'm just curious, one, if there's also any seasonality in that number in the fourth quarter and then two, if there's a way for us to think about that payout rate in 2019 or even longer term.
Davinder Athwal: Hey, Andrew, this is Davinder. I can take that. To take the first part of that question, there really isn't any seasonality that I would model in. It's typically pretty constant throughout the year. And in terms of thinking about going forward, my remarks I mentioned that we did have - we do have a bonus that we expect to pay in Q1 and then a little bit in Q2 and Q3, which I would say is not going to be kind of a run rate type of a component of payout. So I would exclude that and I think if you do the math, you'll find that that'll probably take out about a percent or so from the calculated payout rate, so I kind of use that 77.5 ish for purposes of modeling.
Andrew Nicholas: Okay, thank you. And then one last modeling item if you don't mind Davinder. Can you tell us what the tax rate is that you assume in the Q1 guide and any outlook for the full year.
Davinder Athwal: Yeah, as a reminder, Andrew, so we're still in a net NOL situation. So we don't expect to be a federal taxpayer this year. We do pay cash taxes on state taxes. And that's typically been around 2% to 3%, which is what we're using for Q1 and really for the full year.
Andrew Nicholas: Understood, alright, thanks a lot.
Operator: Thank you. And I'm showing no further questions. I'd like to hand the call back over to the management team for any closing comments or remarks.
John Clendening: Thank you all for joining us today. In closing, I'd like to also thank our employees, advisors and customers that are at the heart of our success. 2018 was a great year Blucora and we're looking forward to keep you updated on our progress. Speak with you all next quarter. Take care
Operator: Ladies and Gentlemen, thank you for your participation on today's conference. This does conclude our program and you may all disconnect. Everybody have a wonderful day.